Operator: Good day and welcome to the Aptiv Q3 2024 Earnings Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Jane Wu, Vice President of Investor Relations and Corporate Development. Please go ahead.
Jane Wu: Thank you, Jess. Good morning and thank you for joining Aptiv's third quarter 2024 earnings conference call. The press release and related tables, along with the Slide presentation, can be found on the Investor Relations portion of our website at aptiv.com. Today's review of our financials exclude amortization, restructuring, and other special items, and will address the continuing operations of Aptiv. The reconciliation between GAAP and non-GAAP measures for our third quarter results, as well as our 2024 outlook, are included at the back of the Slide presentation and the earnings press release. During today's call, we will be providing certain forward-looking information that reflects Aptiv's current view of future financial performance and may be materially different for reasons that we cite in our Form 10-K and other SEC filings. Joining us today will be Kevin Clark, Aptiv's Chairman and CEO; and Joe Massaro, Vice Chair and Chief Financial Officer. Kevin will provide a strategic update on the business, and Joe will cover the financial results in more detail, before we open the call to Q&A. With that, I'd like to turn the call over to Kevin Clark.
Kevin Clark: Thanks, Jane, and thanks, everyone, for joining us this morning. Let's begin on Slide 3. During the quarter, we were busy executing on a record number of year-to-date vehicle program launches, which were more than offset by further weakness in production schedules from the (decrease) in North America, especially with a large European-based OEM, and from select global OEMs in Europe, and continued weakness in production schedules with the multinational JVs in China. As a result, third quarter revenues declined 6% as we experienced more headwinds than previously anticipated, weighted more towards our electrical distribution product line. Despite the dynamic market environment, we delivered record third quarter operating income and margin, as well as an all-time record for quarterly earnings per share, reflecting our continued strong operating performance. EBITDA and operating margins expanded 180 basis points and 120 basis points, respectively, and EPS increased 41% versus the prior year, benefiting from strong operating performance, as well as completion of the Motional restructuring, and a lower share count. Moving to Slide 4. Although we're encouraged by our strong year-to-date operating execution, we're updating our 2024 outlook to reflect a weaker industry backdrop that includes an incremental slowdown in EV adoption and an overall reduction in global vehicle production, further impacted by our customer mix. Joe will cover our updated outlook later. However, we remain confident that the long-term trends towards a software-defined electrified future will continue. And as a result of the resilient business model we've built, our revenue growth will re-accelerate once industry and customer dynamics have stabilized. In the meantime, we've implemented additional profit improvement actions, including prioritizing investments in productized solutions, both on flexible open platforms, which enable higher performance at lower cost, proactively diversifying our customer and end market exposure, and consolidating our manufacturing footprint and reducing direct and indirect labor across each of our regions. We remain confident that our portfolio of advanced technologies, coupled with our optimized cost structure, positions us to deliver long-term value to our customers and to our shareholders. Moving to Slide 5, during the third quarter, we booked $3.6 billion of new business awards, bringing the year-to-date total to just under $21 billion. Advanced Safety and User Experience bookings totaled $3.8 billion year-to-date, driven by continued strong momentum in Active Safety bookings in the quarter. Signal and Power Solutions new business bookings totaled just under $17 billion year-to-date, including new program awards across the automotive, commercial vehicle, aerospace and defense, and industrial end markets. While our pipeline of new business opportunities continues to expand, we've seen some delays in customer program awards, causing shifting timelines across our business. These delays do not represent program losses or cancellations, but do impact our expectations for timing related to new business bookings, which is reflected in our updated 2024 bookings target of $30 billion. Our industry-leading portfolio of cost-effective full system solutions and global scale continues to position us to win new business and support our customers in navigating both the near and long-term market dynamics. Turning to our Advanced Safety and User Experience segment on Slide 6, the segment achieved record earnings and margin during the quarter, underscoring the strength of our product portfolio and benefits associated with our productivity initiatives. Revenues declined 1% to $1.4 billion in the quarter, reflecting growth over vehicle production across our major regions. Active Safety revenues increased mid-teens, partially offset by decline in user experience revenues. Operating income totaled a record $196 million, representing margins of 13.7%, reflecting benefits from manufacturing and engineering productivity initiatives. We continue to build strategic supplier partnerships and further localize our vendor base to both increase supply chain resiliency and lower costs. This is demonstrated by our investment in Maxieye during the quarter, a China-based vision software supplier that provides a local perception alternative for our ADAS platform. Recent commercial highlights include a new radar award with a local OEM in India, a smart camera solution with Geely that utilizes an SOC provided by China-based Axera, and a vision solution provided by Maxieye, underscoring the benefits of the open abstracted architecture of our Gen 6 ADAS solution, and how we're leveraging this in the China market. And the extension of an existing ADAS program with a large North American-based OEM, which as a reflection of our strong performance, includes increased content and will be launched across additional vehicle programs. During the quarter, we also launched multiple new vehicle programs, including our ADAS solution for Geely, which incorporates our Gen 7 radar, the industry's first base-level forward-facing radar with 4D capability. Our user experience solution for Mahindra’s SUV, which will be followed by additional vehicle program launches early next year that utilize our integrated cockpit controller, which consolidates multiple ECUs into a single compute platform capable of supplying higher levels of performance and scalability, a significant ADAS program for a large multinational OEM that is fully scalable up to level two plus. And lastly, the successful launch of Wind River’s eLxr Pro, the first enterprise-grade Linux solution for the cloud edge continuum. This solution expands the opensource Linux ecosystem and enables the deployment of mission critical and data-intensive workloads, including AI, ML, and computer vision. Customer engagement for eLxr has been promising, and we're planning further expansion of Wind River's portfolio to drive growth. Moving to the next slide, we recently held an ADAS investor roundtable to dive deeper into our ADAS technology stack, which delivers high-performing scalable solutions at a very competitive cost. The foundation of our solution is a services-based architecture and cloud native tool chain that support modular software running on abstracted hardware. This approach enables our OEM customers to accelerate software development, streamline deployment, and optimize lifecycle management. Our full system solution efficiently scales from compliance up to hands-free urban driving, and even level three autonomy, enabling greater flexibility at a much lower cost. Turning to our Signal and Power Solutions segment on Slide 8, revenues in the segment were down 8% during the quarter, reflecting declining revenues in our electrical distribution system and engineered component product lines of 12% and 4%, respectively. EDS revenues were impacted by customer schedule reductions, particularly from select OEMs in North America and Europe, while engineered component revenues benefited from strong growth in non-automotive end markets, including continued traction in aerospace and industrials. Operating income totaled $397 million, representing a margin of 11.5%, reflecting the impact of lower production volumes, partially offset by savings related to operating performance initiatives. Signal and Power Solutions booked approximately $3.2 billion in new customer awards in the quarter, including program extensions with two major global OEMs for the North American market and conquest awards with the largest Chinese local EV manufacturer across low and high voltage electrical architecture solutions. As mentioned, we also delivered a record number of vehicle program launches year-to-date, including major EV launches for both a Chinese OEM and a Korean OEM, as well as several programs across our portfolios for OEMs in North America and in Europe. Turning to Slide 9, looking beyond the quarter, I'd like to highlight a few of our recent technology showcases, which are a great opportunity for us to display our cost-effective solutions and engage with the engineering, purchasing, and executive teams across a broad range of customers, regions, and markets. At each of these events, Aptiv hosted hundreds of customers, presenting tailored content, live demonstrations, and technical deep dives, resulting in new commercial opportunities across our entire portfolio. In China, we hosted numerous technology showcases with fast-growing local OEMs, including BYD, Changan, and Great Wall Motor. And we just returned from IZZD in Wolfsburg where we had the opportunity to host the Volkswagen Group's executive leadership team in our vehicles on the road and in our booth, as well as engage with partners and customers across the broader supply chain. In addition to the automotive market, we're also pursuing opportunities in other markets. Our presence at IAA Transportation was well received and sparked interest from many major commercial vehicle customers. As industry landscapes evolve, these technology showcases are increasingly important and are one of the levers we use to further solidify our position as a partner of choice with leading customers. Moving to Slide 10. Before I turn it over to Joe, I'd like to remind everyone that consistent with prior years, we'll be unveiling our newest innovations at the Consumer Electronics Show in Las Vegas this coming January. We'll be showcasing solutions at the intersection of software and hardware and functional fully integrated vehicles on the roads of Vegas, demonstrating how we can partner with our customers to build the software-defined cloud-native and electrified vehicles of the future. With that, I will now turn the call over Joe.
Joe Massaro: Thanks, Kevin, and good morning, everyone. Starting with the third quarter on Slide 11, despite lower revenues, Aptiv delivered strong earnings growth in the quarter as we continue to drive operating performance improvements across the business. Revenue was $4.9 billion, down 6% or down 1% compared to underlying global vehicle production. Consistent with the second quarter, revenue growth was impacted by lower vehicle production at select customers, including a European OEM with a large North American presence, as well as multinational customers in China. In certain cases, the reductions in vehicle production did exceed our prior expectations. And as I will discuss in more detail shortly, these schedule reductions, as well as the continued slowdown in electric vehicle production, impacted certain key product lines more than others. Third quarter adjusted EBITDA and operating income were $778 million and $593 million, respectively. Improved operating performance across both segments, combined with the cost reduction steps we took at the end of 2023, and proactive management of current year expenses, increased operating margin by 120 basis points over the prior year. FX and commodities were a $12 million headwind in the quarter. We delivered record quarterly earnings per share of $1.83 and an increase of 41% from the prior year, which reflects the flow through of earnings, as well as the benefits of share repurchases and the restructuring of the Motional joint venture earlier this year. Operating cash flow totaled $499 million, and capital expenditures were $173 million. And finally, during the quarter, we also invested $80 million in two vision technology providers, including a company focused on the China market, as well as repaying $700 million of debt. Moving to Slide 12, revenue of $4.9 billion was down 6%, negatively impacted by lower vehicle production in the quarter, offset by secular growth in key product lines. Net price and commodities were positive in the quarter, and the net FX impact was minimal. Revenue performance was generally consistent across regions, with North America down 7% and Europe and China both down 6%. North America was driven by lower production, partially offset by 20% growth in Active Safety. European performance was driven by double-digit growth in Active Safety, offset by lower production volumes. And in China, sales to local OEMs grew 3% in the quarter and represented approximately 54% of total China revenues. Moving to Slide 13, within our AS&UX segment, year-over-year revenues were down by 1% or 4% above global vehicle production. The Active Safety product line grew 14% in the quarter or 19% above vehicle production, with growth across all regions. Growth in Active Safety in China was 26% as we ramped several new program launches with Chinese local OEMs, more than offsetting the impact of lower multinational volumes on the product line. Smart vehicle compute and software product line grew 3% in the quarter or 8% above market, benefiting from new program launches. This growth was offset by user experience, which was down 17% in the quarter, reflecting a wind-down of a legacy program, as well as lower Chinese multinational vehicle production. Segment adjusted operating income and margin in the quarter were a record $196 million and 13.7%, respectively, resulting from significant year-over-year improvement in operating performance, consistent with our expectations, and our continued focus on cost containment and improvement initiatives, including the rotation of engineering resources to best cost locations. Turning to Signal and Power on Slide 14, revenue in the quarter was $3.4 billion, a decrease of 8% or 3% below vehicle production. Within Signal and Power Solutions, vehicle production headwinds and a significant decrease in EV volumes have impacted growth over the past several quarters. However, this negative impact has been much more concentrated within the electrical distribution systems product line. Electrical distribution was down 12% in the quarter or 7% below market, including the impact of lower EV volumes, which was down 20%. Electrical distribution was also negatively impacted by lower production at select customers, including one of the product line's largest OEMs whose Q3 global vehicle production was down by over 20% in a quarter and down 35% in North America. The Engineered Components product line was down 4% in a quarter, as lower production at select automotive customers was partially offset by 9% growth in our aerospace and industrial interconnect product lines. Segment adjusted operating income was $397 million or 11.5%, reflecting the flow through on lower revenues, partially offset by improved operating performance, as well as net price and commodities. The year-over-year FX impact was not significant. Moving to Slide 16, turning to our full-year outlook. As we look at the remainder of the year, we expect continued pressure on global vehicle production and customer schedules. However, we remain confident that the actions we have taken to improve performance and reduce costs will continue to drive strong operating performance and cash flow generation. Our outlook includes revenues in the range of $19.6 billion to $19.9 billion, down from the prior midpoint of $20.25 billion, representing adjusted revenue growth of 2%. We are assuming global vehicle production will be down 4% in 2024 versus our prior outlook of down 3%. China vehicle production is expected to be up 1%, while North America and Europe are down 3% and 6%, respectively. Operating income of $2.35 billion and operating margin of 11.9% at the midpoint, reflecting margin expansion of 130 basis points over prior year. We are also revising our EPS estimates to $6.15 at the midpoint, a decrease of $0.15 from prior guide, driven by lower earnings. We are holding our operating cash forecast at $2.15 billion, up 13% from the prior year as we continue to drive improvements in working capital and adjust capital spending for current market conditions. Before handing the call back to Kevin, I would like to touch upon our continued strong performance as it relates to cash flow generation and capital allocation. Year-to-date, we have generated almost $1.4 billion in operating cash flow, an increase of 9% over the last year. This has allowed Aptiv to continue to invest in the business, both organically and integrally, including investments in two vision software partners during the quarter, significantly increase our return of capital to shareholders, while maintaining our financial policy. Our strong operating performance and relentless focus on optimizing our cost structure, enables us to convert more income to cash, allowing us to maintain a well-balanced approach to capital allocation that we believe helps drive shareholder value. And with that, I'll turn the call back to Kevin for his closing remarks.
Kevin Clark: Thanks, Joe. I'll make some final remarks on Slide 17 before opening the line up for questions. We executed well in the third quarter despite continued near-term revenue headwinds, with record third quarter earnings margins and EPS. While our updated financial outlook reflects a revised forecast for global vehicle production, we're well positioned to deliver strong earnings growth and margin expansion during the balance of the year and into 2025. We've actively shaped our business model and portfolio solutions to provide our customers with better performance and greater flexibility at a lower cost. And the resulting strong competitive position we've staked out, combined with our industry-leading cost structure, ensures that we're well positioned to deliver strong financial results and shareholder returns even in this dynamic environment. Operator, let's open the line for questions.
Operator: Thank you. [Operator Instructions] We will now take our first question from Chris McNally with Evercore.
Chris McNally: Thanks so much, team. So, look, the operating environment is extremely tough, but clearly the decrementals, Joe, as you mentioned, are managing - I mean, our quick calculus, from the beginning of the year, you've had almost a $1.9 billion revenue guide reduction, but only roughly $200 million in related EBIT. So, that's almost 11% decrementals. Obviously, typically when revenue falls, your decrementals are much are much higher. So, my question is how to think about the EBIT walk from this period of second half into 2025, a low 12% margin second half. That's probably, I don't know, 11.5%, maybe a little bit better on a reoccurring basis. That's the R&D reimbursement. Can we think about that 11.5% to 12% as a starting point for 2025? And I know, I'm not trying to, is it to have you give a guide, but just curious the underlying how much of this momentum we're seeing in margin execution can be carried forward into 2025?
Joe Massaro: Hey Chris, it's Joe. Let me start and then Kevin can jump in. we have to be very cautious at this point with 2025. I think we've - as you've seen, our customers have been very cautious with 2025. So, we're going to stay away from that. We're obviously very focused on margin and margin expansion. We took a number of initiatives all the way back to 2023, including what we discussed at that Investor Day to get the cost structure and the margin performance of the business back to where it was before all of the disruptions of the prior year. So, the initiatives will continue, but I would just caution, it is a challenging environment. As I mentioned in my prepared remarks, we have one large customer that dropped production 35% in the third quarter from the schedules we had the last time we were on this earnings call, on an earnings call. And I think we'll react as best we can to the organization. We're very focused on it. We're proactive on the cost side, but I - and Kevin can jump in, I would not underestimate the volatility in the market at the moment.
Chris McNally: And then maybe my follow-up is for both Kevin and Joe. Can we think about, in preparing for what will be - I think we all agree that 2025 is going to be continued volatility, particularly from some of those customers that you've called out, a way to think about cost buckets, either what you're doing incremental, or maybe what has been done in the second half that we can think about carrying over into 2025. Any way to think about proactively what you're doing now to get ahead of some of the issues? Thanks so much.
Kevin Clark: Yes. So, Chris, it’s a great question, and listen, I think what we're trying to make sure - start from a baseline standpoint. I think the premise and the baseline that you talked about is a reasonable one. For us sitting here as operators, though, when we see third quarter production by an OEM, one of our large OEMs dropped by 35%, it obviously creates a level of consternation and concern, right? We've been in front of it all year. Last year, we reduced overall salaried headcount by 10%. We're in the process of taking another large reduction as it relates to salaried headcount. In addition, we're in the midst of consolidating manufacturing facilities in China and in North America. And as a part of that, we're taking out direct and indirect labor, and now we're very focused on, in addition to those opportunities, how do we optimize engineering? I made comments to focusing investments on productizing solutions, as well as what we can do from a material cost standpoint. For the last couple of years, we've been talking about building up our capabilities from a China SOC semiconductor sourcing standpoint. We have several OEMs in China that are now adopting those technologies. I referred to it in my prepared remarks relative to Western alternatives. Those are delivering cost savings of anywhere between 10% and 30% relative to the western SOC and semiconductor suppliers. And now we have a number of principally European-based OEMs that are evaluating those as alternatives as well. So, we're focused on every one of those levers to improve profitability, and to be honest, we were in front of it before we saw this last step-down in vehicle production in the third quarter and rolling into the fourth quarter. Chris, are you there?
Operator: We’ll move to our next question from John Murphy with Bank of America.
John Murphy: Good morning, guys. Not surprisingly, I probably want to follow-up on the line of questioning that Chris just had. Kevin, as you think about what's going on here at that one large customer, which I think we all know who that is, which is basically 2x peak the trough decline in the cycle, so that's kind of amazing that something like that happens in a quarter, you're getting a rebasing of some of your sort of incumbent and traditional customers sort of to the downside, particularly around EVs. At the same time, you're now overexposed to the Chinese domestics, I think you said 54% in the quarter. And at the Tesla Robotaxi day, I think there were sneak peaks at a lot of your technology, particularly the wireless charging that kind of crept up and Tesla's a big customer. So, if you think about it, your weighting and your products as we go forward seem to be set up to recreate an acceleration of growth above market, even in what might be a choppy market. Is that a correct characterization and how you think about that, without getting into 2025 guide, but it does seem like we’re at a point where there's a re-acceleration coming.
Kevin Clark: No, John, that's a great question. Yes, no, so you look at baseline, we would sit here and say in a normalized environment, absolutely. When we look at the amount of revenue that has come out of our forecast and come out of certain product lines from the beginning of the year towards where we sit today, we would say normalized, we're in a great position for strong growth in 2025 and beyond. We would say that. I think what you - so I'd start with that, one. Two, Joe and I and the team feel very good about our ability to control cost and manage margin. We do that very, very well. And we work real hard to be in front of things, and we have a number of initiatives over the last three years in and around our cost structure, in and around our supply chain that Joe has led that are starting to pay dividends, and we feel will pay dividends in 2025 and beyond. What we're concerned about is when we see the level of volatility in schedules from our OEMs, it's tough to predict quarter to quarter how that lost volume plays out, right? And for us to deliver earnings, it's certainly helpful to have revenue growth, although this year our outlook is a 2% decline in revenue growth and almost a 11% increase in operating income, almost a 30% increase in EPS. But doing that year in, year out, quarter to quarter, we just want to alert our investors that that's a challenge to do. And we're well positioned in our product portfolio, our mix of customers in China, we've made significant progress. So, when you break down, you look at our mix, roughly 33% today are the traditional globals, and the balance are the local Chinese OEMs and a US-based global EV manufacturer. And we’re booking several opportunities with those local OEMs in China and outside of China. So, we feel good about where we are. What we don't feel good about is the volatility in the schedules from our OEM customers.
John Murphy: That's incredibly helpful. And then just a follow-up on the portfolio. You've been a master as a team in portfolio rebalancing. We've seen this with Motional in and out, Delphi spin and other things. And we're hearing this comment a number of times through the call of these investment in these two vision software partners and this reduction in SOC. Is there something that might change in the portfolio more in that direction and kind of becoming a more holistic supplier with those SOC partners, or are there even other things in the portfolio, Kevin, that you might consider? Those actions have created a lot of shareholder value over time. Just curious if there's anything there.
Kevin Clark: Yes, look, John, we're always looking at how do we optimize value through changes in our portfolio. And that's something that we'll continue to look at. And to the extent we see opportunities to drive incremental shareholder value, those are things that we'll move forward with. We have two great businesses and two great segments. the AS UX business, it's playing out as we planned. We're building a much more of a software business with advanced software technologies. Within the SPS business, we have the industry-leading power and data distribution business that unfortunately is being hit with the headwinds associated with EV adoption, compounded with customer mix. And then we have an Engineered Components business that is growing over market within that segment that has very strong 20% plus sort of operating margins. So, we have a great portfolio. We'll continue to evaluate what we do in terms of maximizing value.
John Murphy: But Kevin, is there anything specific on those vision - the vision software side of things that might be going on?
Kevin Clark: Well, the Gen 6 ADAS solution is vision-agnostic solution. So, we're very focused on open architecture that allows the integration of any vision solution that our OEM customers desire. Those two investments are what we would call reference vision solutions. One is a Korean-based company that has very, very strong AI ML capabilities. And mirroring that with our very strong radar capabilities, we can deliver better performance relative to what we're seeing in the market today and what's going to be introduced in the future at lower cost. So, we're in an environment where our customers are really screaming for better solutions with a real emphasis though, on lower cost. And that's what we're trying to do. China market, listen, our view of the China market is we've been building out, localizing our supply chain, that it's more than likely at some point in time our Chinese customers are demanding only Chinese-sourced product, whether that be SOC, whether that be vision solutions, whether that be software solutions. And that's the capability that we've built out for those customers.
John Murphy: Very helpful, thank you.
Operator: We'll go next to Joe Spak with UBS.
Joe Spak: Thanks. Good morning. Look, you guys have clearly done a good job on the cost side in a difficult operating environment. I guess, I just want to better understand one dynamic and sort of how you deal with some of this volatility. And I'll use sort of the S and PS margins in this quarter as an example because we saw sequentially like a $39 million drop in OI versus $69 million drop in revenue. So, I think that's because of that higher labor intensity in that segment, but I just want to make sure that that's what that is. If there's anything else going on. And then what - since if that is the case, like what are some other actions you could do if you think schedules are going to remain pretty volatile here over the near term?
Kevin Clark: Yes, the big challenge there, and Joe can walk through the numbers, Joe, as you think about it, when we see late changes in schedules, we have massive amounts of labor sitting idle and no revenue to effectively pay for that. When we have advance notice, we have the ability to more quickly recalibrate our manning tables and our labor in the plant and do layoffs, or reductions or whatever the case may be. But based on what we saw, especially in North America this third quarter, the schedules were dropping with a couple of OEMs literally on a day-to-day basis. So, reacting to that was impossible. What have we done on a go-forward basis? Transparently, we've taken the current run rate of those customer schedules and we've reduced capacity in line with what we're seeing now. So, there may be a pinch on the upside if production schedules increase rapidly, but we'll deal with that. But the challenge in terms of the cost associated with supporting their volatility, it's just too expensive. And when we were last on the earnings call, we talked about schedules coming down in an incremental significant layer of conservatism that we overlaid and manning to that more conservative level. The reality, it ended up more volatile and even lower. So, Joe, myself, and the team decided we're taking the labor out now. We're going to start rotating footprint and consolidating facilities, and we'll manage to the extent there's upside. It'll be less efficient, but we won't be left holding the bag on the downside.
Joe Spak: But it's fair to say that lower efficiency on the upside, given how you're planning now, is still lower than the inefficiency you've seen in that sharp declines, like you experienced this quarter, correct?
Kevin Clark: Yes, I think that's a very fair point, Joe.
Joe Massaro: And I agree with everything Kevin just said, Joe. I think, listen, a little bit of its timing, right? Reacting to a 35% reduction of the top three customer in a quarter, we're not just going to get it all done in that quarter, right? It's just hard to pivot that quickly. We're moving. You're just not going to see it in the results of the quarter where that volume comes down.
Joe Spak: Okay. And then just as a second questions on the bookings, I mean, you're not the only ones that we've heard from, OEMs delaying some decisions, I think given all this uncertainty we just talked about. Presumably. Though, that's with the legacy players. I'm wondering if it's just - if it's across all types of products you serve or specific products. And then you did talk about some positives on the China front, and they seem to move faster. So, is there some maybe potential offset there as you continue to make progress in that region?
Kevin Clark: Yes, from a China standpoint, just given the nature of the programs and how many new introductions or enhancements that you typically see on a vehicle program, that's an area where actually bookings are very strong this year on a year-over-year basis. I don't have the numbers in front of me, but they're stronger than what we're seeing in other regions and it's across our broader portfolio/ I think as it relates to North America and Europe, Joe, listen, we have a number of opportunities in the funnel that we think decisions are going to be made between now and year-end. We do - there's a couple that we decided in terms of outlook for investors. We should assume those happen in the first quarter of next year, just to be prudent. It's possible they could happen before year-end and provide an upside surprise. But just in terms of trying to be prudent, a little bit conservative, we just assume those get pushed out. But OEM customers are still working on advanced ADAS solutions. The funnel for SVA opportunities are significant. The funnel for quite frankly, whether it's EV or plugin hybrid opportunities is significant as well. And we'll start seeing the benefit of those from a booking standpoint and to a certain extent, revenue standpoint as we head into 2025 and beyond.
Joe Spak: Thank you.
Operator: We'll go next to Emmanuel Rosner with Wolfe Research.
Emmanuel Rosner: Thank you so much. So, let's back on the very challenging environment and the production cuts being done on very short notice. It seems like obviously big impact on Q3, but backing into, I guess implied Q4, I think maybe you expect a bit of a re-acceleration, certainly over like market expectations. So, I guess, what gives you that level of confidence into the current quarter in light of how quickly some of these decisions are being made?
Joe Massaro: Yes, obviously, I think we we've taken - Manuel, it’s Joe. I'll start. We've obviously taken down full-year, right? That's in addition to just what we had from a Q3 miss. I will tell you, vehicle production, those customers that we've highlighted, continue to be challenged. I think offsetting that, we talked over the course of this year about what we expected to be some meaningful launch activity in the back half of the year. Those launches, as Kevin talked about, are happening. They're at slightly lower volumes because the world's building fewer cars, obviously, but the launches themselves are happening. So, and then as I talked about, just in my prepared comments, we're dealing with vehicle production coming out. There's still some great secular growth in the Active Safety business, including the Active Safety business in China. That was up 26% a quarter in Q3. So, we still have product lines that are growing and launching new products that's giving us mix, but it's just obviously not enough to offset the drops in global vehicle production.
Emmanuel Rosner: Okay. and I guess just shifting with a focus on …
Kevin Clark: Hey, Emmanuel, can I interrupt you one second? The other thing, when you think about year-over-year growth, just remember last year on an apples to apples basis, there was a strike in North America. So, when you look at year-over-year growth, it's impacted to some extent by that. And I think when you look at the sequential Q3 to Q4, the incremental revenue, it's less than $100 million, right? I think it's roughly $80 million of revenues coming off of what we consider to be a fairly low base in Q3.
Emmanuel Rosner: Yes, no, that's helpful context. And with an eye on next week’s US election, I think there's a bit of investor concerns around potential - depending on the outcome, potential future rhetoric on maybe duties and tariffs and in particular on things being shipped from Mexico. Can you maybe just remind us in terms of your exposure, how much actually sort of like crosses the border and then just holistically, how you would think about managing that risk or environment depending on the scenario and outcome?
Kevin Clark: Yes. Back in 2016, given all the noise and all the challenges, we went through a very active kind of regionalization push from a supply chain standpoint. And Joe actually led that activity. When you look at manufacturing, we manufacture 90% of what we sell in region for region. When you look at supply chain, so what we source and what we move around, it’s roughly 80% of what we source is in region for region. And those areas that were short tend to be areas in and around some electronics, some semiconductor products. So, we've done a lot. We feel like we're way in front of it, and to the extent, and we'll see ultimately what happens, that we see tariffs, that it’s pretty manageable for us relative to others. Joe should add to my comment.
Joe Massaro: No, I agree with that. And again, we've been through a version of this before. We made permanent changes, to Kevin's point, to our supply chain and our product flows that are still in place, but the current administration did not significantly change some of those tariff regimes as well. So, we'll obviously need to react to what happens, but I think the team is well versed in what to do and ready to react.
Emmanuel Rosner: Great. Thank you.
Operator: Well, ma'am, next to Mark Delaney with Goldman Sachs.
Mark Delaney: Yes. good morning. Thanks very much for taking my questions. I was hoping to better understand how pricing negotiations with OEMs for 2025 are tracking relative to the historical low single-digit declines that have been traditional in the industry. And do you think Aptiv will be able to secure economics that better reflect the volatility the company is dealing with?
Kevin Clark: It's a good question. So, we're constantly in discussions with our customers about price. I mean, it’s an ongoing activity. I would say as we look in - as we head into 2025, the discussions aren't really any different, I would say with one caveat. I think with most of our OEMs, we're spending a lot more time on how do we together strategically figure out ways to lower costs. And I think that's certainly true in North America. It’s true with some of our customers in Europe and then in Asia. So, how do we look at full system solutions? How do we take out unnecessary content from a full system design standpoint? That's one of the big benefits of what we've done from an AS UX standpoint in terms of our productized solutions. It's one of the things we've done when you think about our vehicle architecture solutions. So, we're seeing more traction there and more focus from OEMs in terms of how do we identify those sorts of engineered in savings, which is helpful. From a footprint standpoint, we've talked about labor costs in Mexico with you in the past. They remain high, and there's several OEMs in North America that we're working with on rotating footprint as we head into 2025 and 2026. So, I'd say to a certain extent, more collaborative, although the time is - it's a bit more of a challenging time for them.
Mark Delaney: Thanks for that, Kevin. My second question was around the connectors in Engineered Components. Earlier this week, the leading North America EV OEM announced a plan to simplify its connector use and announced the low voltage connector standard, I believe targeted at 48 volts. I realize Aptiv has been quite active in helping its OEM customers to be more efficient with their electrical and electronic architectures, and you've got SVA, but hoping to better understand how news like that may affect Aptiv. Thank you.
Kevin Clark: No, that particular customer, we've made a lot of progress with over the years across vehicle lines and in regions. We're very active in terms of always how do we take out costs, and part of that is standardization. And working with them, it’s translated into more content and more revenue opportunities, both on the vehicle as well as off the vehicle. We would expect that to continue to happen. It's an important customer that we're certainly invested in from a commitment, from an engineering standpoint. So, we see opportunities there.
Mark Delaney: Thank you.
Operator: We'll go next to Dan Levy with Barclays.
Dan Levy: Hi, good morning. Thanks for taking the questions. Wanted to start with AS UX, pretty material year-over-year increase in margins from what we thought was supposed to be a seasonally weaker period. Maybe you could just explain the move, which I think says in the deck, engineering manufacturing performance initiative. Is this the right starting point for AS UX? Was there something unique about timing of recoveries?
Joe Massaro: Yes, listen, overall, there's nothing unique, right? We talked about, even going back to the Investor Day at 2023, February 2023, and I realize a lot's changed from a volume perspective, but as we talked about, there were a number of initiatives in place to get them to restore effectively where that margin was in that business pre-supply chain disruptions. And you've heard us talk a lot about what we've done from a supplier perspective, the China SOCs. To some extent, even if you don't have China SOCs in hand at the moment, it just helps with a little bit of the cost dynamic. And we continue to work the manufacturing side of that business. So, we talked about in February of 2023, the material performance, the engineering performance, the rotation of best cost countries, the material performance. And despite volume headwinds, the team is delivering on a lot of those. So, I think it's very consistent with what we've seen. To our comments about volatility, you could just see it bounce around a little bit quarter to quarter, just depending on what happens from a customer volatility perspective. But long-term, we talked about this business getting to low teen margins in the 2025, 2026 time period, and that's what you're seeing. Kevin, have I missed anything?
Kevin Clark: No, I think you covered it.
Dan Levy: Okay, great. Thanks. And then as a follow-up, wanted to just ask something along the lines of what Mark was asking, but a bit more just post a lot of the programs that you booked in the past. We look at the bookings, obviously very high numbers in the past and clear delays volumes not coming in as expected. You've incurred already a lot of the validation expense, maybe some of the tooling for these programs. Maybe you could just talk about the process of incremental recoveries, what opportunity may exist given clearly the programs that you booked, the volumes aren't coming in as planned.
Kevin Clark: Yes. So, what tends to happen - it's a great question. What tends to happen, and it varies a little bit by OEM some, some have a very formulaic process. Others, it’s a mix of that negotiation. What tends to happen, Dan, is recoupment of investment, recognition to some extent of lost profitability, and then a discussion about replacement programs. That tends to be how it works with a view that the supplier is made whole from an investment standpoint, negotiation about kind of that lost profitability, and then more often than not, other commercial opportunities to fill what you'd consider to be a revenue hole. So, as you can imagine, just given the environment today, we're having those sorts of discussions with customers. I'd say by and large, they're going relatively well. It's just a matter of sitting down and walking through those and just getting them over the goal line.
Dan Levy: And maybe you can just remind us of the resource outlay that you've had on these booked but not yet launched programs. Is this mostly CapEx, or is this stuff that would've appeared in OpEx, just validation expense to …
Kevin Clark: Yes, no, great question. It's a mix. I don't, and it would vary a bit by program, and it would vary a bit about close you were to launch. So, first phase would be advanced engineering. Starting three years ago, as we mentioned previously, and it's in our prepared remarks, we really focused our engineering investment on productized solutions so that we're not providing engineering services that aren't to some extent reusable. And that varies a little bit by business and by program. So, that would be the first phase. So, call it advanced engineering. The second phase would be basically development of the actual solution or introduction of the actual solution, which is all about, as you highlight, integration, testing, validation. And then late in that process, you're investing in equipment tooling, maybe manufacturing floor space, depending upon what it is. And that would be the last phase prior to launch.
Dan Levy: Great. That's helpful commentary. Thank you.
Operator: We'll go next to Tom Narayan with RBC Capital Markets.
Tom Narayan: Thanks for taking the question. Apologies if you've already answered this. There’s a couple of other calls going on, including the customer that cut production 35%. The growth over market expectations for the full year, Joe, have you revised that post 3Q?
Joe Massaro: Yes, if you follow through the numbers, you're looking at revenue growth, and I referenced this is my prepared remarks, revenue growth 2% down in a market that we view as 4% down.
Tom Narayan: Okay. And then the peso was down - the Mexican peso was down quite a bit in the quarter. In the past, that appreciation has hurt your margins. Was that a meaningful contribution margin-wise, the weakening peso?
Joe Massaro: FX overall was fairly neutral from a quarter perspective. Just there were some movements. A weaker peso is helpful, but it's not particularly material in the quarter.
Tom Narayan: Okay. And then my last one, if you think about Europe, there’s a large European OEM commented on their call yesterday that on one hand, they're expecting kind of like a 14 million production number for Europe. It used to be 16 million - or sales number. But then the flip side, there's this expectation that the EV push has to be a lot bigger next year because of CO2 compliance. In a world with - in a Europe, let's say, with much lower overall production, but a much stronger EV production, I know it's hard to kind of net that out, but I would think you guys would be a net beneficiary of that on SPS. Is that fair to say?
Kevin Clark: Yes, if you - Tom, it’s Kevin. It depends on customer and program mix, right? And I know you know that. But if you were to normalize, you would say, if it's above, it’s 2x the content opportunity, if it's a plugin hybrid, it’s a little bit less than that. If it's a hybrid, it's a 1.5. So, you're right, there's a net incremental sort of revenue opportunity that should be out there. But again, it's dependent on platform and OEM mix.
Tom Narayan: All right, thanks. I'll turn it over.
Operator: We’ll go next to James Picariello BNP Paribas.
James Picariello: Hey guys. So, my question, can you just speak to the 18% stake in Maxieye and how that unlocks opportunities for Aptiv in China? Any additional color on that, because I know you did reference that. And then there was an announcement yesterday by Siemens, I believe it was yesterday, to acquire Altair in a $10 billion deal. Can you just shed any light on just where Altair plays within the automotive software stack, assuming you might be familiar, and whether this could have any competitive influence in the areas that Aptiv and Wind River play in? Thanks.
Joe Massaro: I'll take Maxieye and then Kevin can speak to Altair. So, listen, I think, as everyone knows, right, the development of Active Safety in China requires a significant local presence, right? There's regulatory requirements around where you do mapping, where the data is stored, those types of things. There's obviously, as we're seeing a customer bias to China tech first in China among the local OEMs, right? We see that with SOC. We've been talking about it. So, from a having a vision-agnostic Gen 6 Active Safety system, for us, it makes perfect sense to have a China vision solution that plugs into that system, because you then have the ability to sell and develop systems within China that look very consistent with what the local Chinese OEMs have. So, Maxieye is a great company. We've gotten to know them over the last couple years. And for us, and you've seen us do this in the past, making some smart investments in these types of businesses that have a clear path to helping us from a commercial perspective is, as I said, really something we've done from the past. Kevin, if you want to.
Kevin Clark: Yes. So, Altair, they play in kind of the, I call it the systems engineering tool chain simulation space. That's a small part of the engineering tool chain is a part of what Wind River delivers and is launching within the automotive industry. I'm not aware of Altair having a real strong position in that particular space. So, I wouldn't view them as an overall competitor, but it's really about how do you make - they're really about, how do you make software development a much more efficient process. That's a small part of what Wind River does today. We're hoping to make it a bigger part. I'd say we're more focused on the automotive space. They're more focused on the kind of the industrial landscape, broader industrial landscape.
James Picariello: Very helpful. Thanks, guys.
Operator: We'll take our final question from Colin Langan with Wells Fargo.
Colin Langan: Great. Thanks for taking my question. Just want to follow-up from the very beginning question to make sure I understand what you're trying to indicate. I think in the past, you talked about sort of mid-single growth over market next year, and I think you've talked about trying to get to a 12.5% margin. You seem a bit more cautious on it now. Are we interpreting that it's just there's so much volatility that if we don't see that volatility, those sort of targets are on track and it's just there's a lot of skepticism given all we've seen in Q3, or there’s other issues that we should think about in terms of mix or whatever?
Kevin Clark: Yes, Colin, just to be clear, yes, if we don't see that level of volatility, we're comfortable with that sort of performance. Just the volatility we're seeing right now with no clear line of sight as to when that potentially goes away, it obviously it makes us cautious. So, the underlying business, as you see in the numbers, is performing extremely well. I mean, again, underscoring for investors, and we know revenue growth is really important, but we have a business that's going to - revenues are going to decline 2% and earnings are going to grow 10%. EPS is going to grow almost 30%. So, we feel really good about the business. What we feel concerned about is our visibility to the production schedules of our customers, and they're much more volatile in a much shorter sort of timeframe now than what the management team here is accustomed to. So, that’s what you should read into our comments.
Colin Langan: Yes. Thank you for clarifying. And then touching on earlier, someone asked about EV growth, and can you remind us how has that business done this year? And then shouldn't that actually start to turn the corner next year? Because you do have - assuming the regulations get enforced in Europe and then the EPA standards get tougher in the US, is that still like almost locked good news because of the regulatory push into next year?
Kevin Clark: Yes, I'll let Joe go through the numbers. Listen, I think in theory, you're absolutely right, but our customers need to build the cars, and that's been very choppy this year.
Joe Massaro: Yes, Colin, as I mentioned in my prepared comments, the EV product line or the EV business was down 20% in the quarter. You're likely to see something like that for the full year number, maybe a little bit lower, but it's in that range of 15% to 20% down. And to Kevin's point, we have the technology, but they have to build the cars. And we're obviously in a very strong position in China. That market, as we've talked about, is fully going EV. But you have some headwinds certainly in Europe, and North America has obviously taken a big step back down this year. So, very well positioned. We've got the right tech for full EV. We've got the right tech for the hybrids plugin or sort of straight hybrid, but it’s really just when do we see that production meaningfully return.
Colin Langan: Got it. All right. Thanks for taking my questions.
Operator: That will conclude the Q&A session. I would now like to turn the conference back to Kevin Clark for any additional or closing remarks.
Kevin Clark: Thank you very much, Operator. Listen, to wrap up, maybe the way I would or we would kind of leave investors in terms of how we're thinking about things, really for us, it's about controlling what we can control, and that's what we're very much focused on. And I'd say there are two prongs to that strategy. Prong one is delivering to our customers solutions that lower their total cost of ownership. We are very focused on how do you deliver solutions that lower their cost and lower them over the lifecycle of a vehicle, which we believe is attractive to our customers. And we'll see more interest in and more adoption, especially in light of the environment we're in. The second is, we're taking several cost actions off of the baseline that we're operating at today. So, to the extent we do see upside from a electrification standpoint or schedule standpoint, we will see some benefits. There may be some inefficiencies that we need to deal with, but those inefficiencies will be less than what we're absorbing today with excess capacity and excess resources. So, that's really what the team is very much focused on. Again, we feel very good about how the business is operating. We feel very good about the robustness of the business model. We feel very concerned about just the volatility that sits in the environment today and the need to react to it. And as a result, we're narrowing our focus to those simple things. So, listen, we appreciate your time today. Thanks for taking the time to listen to our call. We appreciate you as investors, and if you have any further questions, please let us know. We'll follow-up with you.
Operator: Ladies and gentlemen, this concludes today's call. Thank you for your participation. You may now disconnect and have a great day.